Operator: Hello and good morning everyone. If you’ve dialed in by phone, you can follow along with the presentation slides by joining the webcast. All participants are currently in listen-only mode to prevent any background noise. Following the speaker’s remarks, there will be a question-and-answer session. [Operator Instructions] I will now turn the call over to G Mining Ventures. Please go ahead.
Dušan Petković: Good morning, and welcome to G Mining Ventures First Quarter 2025 Results Conference Call. I’m Dušan Petković, Senior Vice President of Corporate Strategy. Joining me today are Louis-Pierre Gignac, President and CEO; and Julie Lafleur, CFO. This call is being recorded and will be available on our website. All figures are in U.S. dollars unless otherwise stated. Please refer to Slide 2 for our cautionary language regarding forward-looking statements. We’ll start with Q1 performance followed by an update on Oko West and conclude with key 2025 catalysts before opening the line for questions. With that, I’ll turn it over to LP.
Louis-Pierre Gignac: Thanks, Dušan. Q1 marked our second full quarter of production and continued strong execution. Our buy, build, operate model remains our edge driving disciplined execution, capital efficiency and cash flow generation. At TZ we operated closely to plan despite challenging weather maintaining first quartile cost performance. At Oko West, we’ve kicked off early works and remain on track for a construction decision in the second half. We produced 35,578 ounces at a cash cost of $689 per ounce and AISC of $960 per ounce, reinforcing our first quartile position. Adjusted EBITDA was $69 million and free cash flow came in at $36 million. We ended the quarter with $149 million in cash. We remain on track to deliver 175,000 ounces to 200,000 ounces at AISC between $995 to $1,125 per ounce with over 56% of production expected in the second half as grades and throughput increase. In Q1, we secured our interim environmental permits at Oka West enabling us to commence early works activities. Published resource and reserve updates showing material increases year-over-year in all categories. Indicated resources now total 9.4 million ounces, inferred resources now total 1.2 million ounces and most importantly global reserves now total 6.7 million ounces, a 4.6 million ounce increase year-over-year. This quarter we initiated early works construction activities at Oko West and announced a robust feasibility study confirming Oko West’s Tier 1 potential. Q1 saw steady performance at TZ despite heavy rainfall impacting access to higher grade benches. We drew from our substantial surface stockpiles, which remained robust at 5.5 million tons, creating 0.8 grams per ton, representing over 12 months of mil feed. We processed 904,000 tons at 1.4 grams per ton with 88% recovery producing 35,578 ounces. Throughput averaged just over 10,000 tons per day, or 78% of nameplate capacity, reflecting unscheduled downtime largely related to the replacement of damaged SAG mill poly-met liners. The SAG mill liner upgrade was completed in April and will help support greater than 90% availability going forward. We expect grades and tonnage to increase in the second half, driving stronger production. I’m also proud to report zero lost time injuries in the quarter, underscoring the strength of our safety culture and the discipline of our team. TZ is built to generate free cash flow across all phases of the commodity cycle. Despite lower throughput, unit costs were well managed. Cash costs were $689 per ounce in AISC was $960 per ounce below our full year guidance midpoint. As production scales, we expect further efficiencies, especially in G&A as fixed costs are spread over higher volumes. The AISC of $960 per ounce is well below the 2025 guidance and is largely driven by deferral of sustaining capital expenditures from Q1 into Q2. Sustaining capital for the quarter totaled $5 million, including $2 million in capitalized waste stripping. Approximately $25 million of spending originally planned in March was deferred into Q2, where we expect $40 million in sustaining capital. It’s important to note that these investments are largely one-time in nature. Key items include $20 million to complete the mine fleet expansion, $10 million for major mobile equipment components, and $5 million for construction of the second and final CIL tailing storage pond. Looking ahead, sustaining capital for the second half of the year is expected to total $22 million, of which 70% is capitalized waste stripping. This sets up a lower and more normalized spend profile in the second half of the year. TZ remains firmly in the first quartile of the global cost curve, a competitive advantage as we ramp up and fund growth internally. With that, I’ll hand the call over to Julie to walk you through our financial results for the quarter.
Julie Lafleur: Thank you, Louis-Pierre, and good morning, everyone. Revenue was $98 million at an average realized gold price of $2,766 per ounce. Income from mining operation was $60 million, a 61% margin. Adjusted EBITDA was $69 million and adjusted net income was $35 million or $0.16 per share. The consolidated effective tax rate for the quarter was 48% compared to Brazil’s statutory rate of 34%. The higher rate primarily reflects pretax losses in our non-Brazilian subsidiaries where no deferred tax assets were recognized. As a result, the tax benefit on those losses wasn’t reflected in our consolidated tax expense driving the effective rate higher at the group level. Importantly, we expect a significant reduction in our Brazilian tax rate once the SUDAM incentive is approved, lowering it to 15.25%. This approval is expected in the coming months and crucially it is anticipated to apply retroactively to the beginning of 2025, which would further reduce our full-year effective tax rate. Free cash flow generated by TZ will be the primary source of capital to fund future discipline growth at GMIN’s development projects. It is defined by the corporation as cash flow from operating activities adjusted for investment in long-term inventories, which represents ore mine and stockpiled that will not be produced in the following 12-month period less changes in non-cash working capital, less sustaining capital expenditures inclusive of capitalized stripping. In Q1 free cash flow came in at $36 million. We ended Q1 with $149 million in cash and an $8 million increase from Q4. The key drivers were $36 million in free cash flow, $10 million investment in long-term inventories, $17 million directed toward advancing the Oko West project, which is $10 million in long-term deposits and $7 million in early works, $3 million in exploration expenditures and remaining $2 million net inflow reflects a combination of financing outflows and favorable ethics adjustment. With $149 million in cash, we have ample liquidity to support early works at Oko West and strategic growth initiatives simultaneously. With that, I would like to turn the call over to Dušan for an update on our growth strategy.
Dušan Petković: Thanks, Julie. Oko West is rapidly establishing itself as one of the premier development stage gold projects in the Americas. The April feasibility study confirmed Tier 1 production potential and was closely aligned with the PA released just seven months prior, which is a strong validation of the quality and thoughts we put into our technical work. It is engineered to have a 12-year mine life with average annual gold production of 350,000 ounces per year and a first quartile AISC of just $1123 per ounce with an initial CapEx of $972 million, the project delivers an after tax NPV5% of $2.2 billion and a robust 27% IRR using a gold price of $2,500 per ounce. Every $100 per ounce increase change in the gold price adds roughly $200 million in after tax NPV, giving it a lot of leverage to the gold price. At today’s spot price of $3,200, the NPV reaches $3.6 billion and an IRR of 38%. The April feasibility study also validated the quality of the deposit. We completed an additional 46,000 liters of drilling that resulted in 76% conversion of inferred mineral resources, raising the indicated resource of 5.4 million gold ounces while also improving the average gold grade to 2.1 grams per ton. The inaugural reserve estimate came in at 4.6 million ounces, an average gold grade of 1.9 grams per ton. Demonstrating our commitment to discipline valuation, we applied a gold price of only $1,950 per ounce for resource estimation and $1,800 per ounce for reserve calculation, making sure robust project economics even under lower price scenarios. Oko West distinguishes itself through its combination of scale and grade, a rare pairing among development stage projects in the Americas. There are few assets of comparable size and resource quality at a similar stage of development. Additionally, Oko West is one of the few development stage projects in the Americas with a production profile exceeding 300,000 ounces per year and one of even fewer that has reached the feasibility stage. It is truly a rare American asset whose closest comparison in our view is Kinross’ Great Bear project, another large-scale open-pit and underground operation. We remain on track to advance Oko West to a formal construction decision in H2 less than a year after acquiring the project. This rapid progression reflects the same disciplined execution applied at TZ. In December, we submitted the environmental impact assessment to Guyana’s EPA and in January received an interim permit enabling us to begin early works construction on an accelerated schedule. This year’s $200 million CapEx includes infrastructure such as roads, barge landing, airstrip, camp, utilities and power, earthworks are advancing well with concrete work set to begin shortly. Our goal is to substantially complete these, year-end to support a seamless workforce ramp up. Worker training programs began in January and the headcount reached 200 by the end of March. We expect capacity for 350 by May. To de-risk the schedule we’ve committed or negotiated approximately $150 million in long-lead items including mobile and marine equipment, grinding mills, primary crusher and the power plant. First deliveries of equipment are expected in June, allowing us to begin self-performing earthworks on site. The final permitting milestone is receipt of the full environmental permit. Public consultations concluded in February and feedback has been integrated into our regional ESG programs. Final responses are being submitted by mid-May with full permit approval expected in Q2. In parallel, we are advancing financing discussions with lenders and strategic partners with a package expected this summer ahead of a formal construction decision in the second half. Our approach remains disciplined and focused on preserving shareholder value with no equity dilution anticipated. Assuming execution continues on schedule, we anticipate first gold in late 2027 and full transition to intermediate producer status, surpassing 500,000 ounces annually by year end 2028. With that, I’ll hand it over to LP for closing remarks.
Louis-Pierre Gignac: To summarize, Q1 marked a good start to the year. We delivered solid financial results while using the early stages of operations to optimize performance. With those initial adjustments now behind us, we’re positioned to meet our guidance for the remainder of the year. Looking ahead, key catalysts include receipt of Oko West final environmental permit, a construction decision in the second half, and continued progress on our exploration efforts. We built GMIN to be a disciplined, self-funded, growth-oriented producer. With the first quartile cost profile, a clean balance sheet and world-class development project in Oko West. We are well positioned to create lasting shareholder value. Thank you to our employees, partners and shareholders for your continued support. With that, I’ll turn the call back to the moderator to begin the Q&A.
Operator: [Operator Instructions] And your first question comes from the line of Michael Siperco with RBC Capital Markets. Your line is open.
Michael Siperco: Yes, thanks very much for taking my questions. LP, you mentioned this was the second quarter of commercial production. In the context of that and the unplanned downtime, the weather issues in the quarter, can I ask you to put the ramp up to date in context? Are you seeing any surprises, any areas of concern so far? Have you made any adjustments to the maintenance schedule? Or anything like that in the flow sheet after what you’ve seen say in the first couple of quarters here?
Louis-Pierre Gignac: Yes, I think obviously we continue to make improvements in the process plant. I’d say, like we mentioned, the big downtime for us was the mill liners, which we’ve changed at the end of April. And what we’ve seen since is really keeping the running time high without having any issues to have to stop the mills to do inspections and do essentially unscheduled replacements of liners. So what we’ve seen is really the plant running at really high ton per hour, throughputs in line with expectations. And it’s really been getting the running time uptime to where it is. So that’s why with the changes that we’ve made, we’ve seen really great progress and good results since the change out. So that’s very encouraging.
Michael Siperco: And in terms of the mining, I mean, it is Brazil. There’s always going to be weather. Shouldn’t be a surprise there. Any adjustments that you think you need to make there? Or is again, everything sort of in line with expectations, in line with what you expected during the ramp up?
Louis-Pierre Gignac: Yes, so, I mean, in terms of the pit is really the mining operations that are impacted by rain. And like we said, we had abnormally high rain, but we’ve been able to keep the mine running quite well. We always have access to ore on surface and stockpiles to feed the plant. So the plant never is unfilled due to weather, given the large stockpiles that we have. But yes, some of the adjustments that we’re making are just adding to our pumping capacity to deal with the rainy season, which is typically high in the first quarter.
Michael Siperco: Okay, great. Maybe just a question on Oko West. Obviously, we have the game plan from the feasibility study, which was released not too long ago. Can you talk about any potential upside versus the study or the resource over the next three years of construction here? Is there any exploration you’re particularly focused on that could positively impact the mine plan or anything additional that you’re looking in terms of the engineering that could see a change before we get to production?
Louis-Pierre Gignac: Yes, absolutely. We’re actively exploring as we speak. With the $8 million budget that we have this year. We’re - we expect to be adding to resources and updating our resource models on an annual basis. So that’s a few more iterations in front of us before we even start commercial production. So yes, we do expect to find additional resources. And the other aspect that will be improved from the feasibility study is some of the geotech parameters where we’ve added some additional geotech holes and investigations to support some more steepened slopes, where we had some pretty conservative recommendations in the feasibility study. So that’s part of some of the ongoing optimization work that’s going to be taking place as part of detailed engineering.
Michael Siperco: So one of the changes in the, if I’m not mistaken, in the feasibility versus the PEA, was a shallower pit leaving more for the underground. And as far as I understand, most of the upside is at depth. Is it fair to say that exploration will - could change the mix of underground versus open pit? Is that how to think about it or are you looking maybe more to optimize the mine plan in terms of bringing higher grade forward?
Louis-Pierre Gignac: Yes, a lot of the exploration that we’re doing now is more near surface. So, results that would be impacting the open-pit portion of the project. So that’s more near term in terms of its impact on the life-of-mine plan. Currently we’re not drilling at depth, which would essentially extend underground mine life at this point. So that’s where we’re really focusing. So we’re actually drilling some space that are within the ore body, within the pits and extensions that go beyond the current pit limits. So that’s where we expect some additional resources and improvements in the life-of-mine, the open-pit portion of the life-of-mine plan.
Michael Siperco: Okay, thanks. Okay, maybe one last one on Gurupi after the resource earlier this year. Could you maybe map out the next key steps or the timeline for the project as you build Oko West? What should we be expecting over 2025 and I suppose into 2026?
Louis-Pierre Gignac: Yes. So I mean, what we’ve done at this point is engage with a lot of the stakeholders in the region. So we’re in the process of reestablishing permits to restart exploration. So that’s really the next step. In the meantime, we’ve done a lot of surface soil sampling, some trenching, and we’ve done a lot of compilation work, which is really going to support, exploration efforts as we move forward. So that’s currently what we’re doing. So we do expect that based on the feedback that we’ve had, that will likely be increasing our exploration budgets for Gurupi in the coming years and even maybe in the second half this year. So that’s the objective. We’ll obviously be looking to do more internal studies on how we can see the developments based on the existing resources. So we’ll make that decision when we feel it’s appropriate to start essentially producing a EPA [ph] type study on that project. So likely more into next year.
Michael Siperco: Is it fair to say that the next step might be an updated resource sometime in 2026 before a public study? Is that the way to look at how you’re approaching it?
Louis-Pierre Gignac: Well, with the resource that we’ve completed so far this year. There’s sufficient resources to support EPA where you can use inferred resources. But really our objective is to restart exploration, see if we can grow it’s first before we undertake technical studies and, EPA at that point. So yes, the point would be is with exploration we would likely do a resource update that would lead into EPA next year.
Michael Siperco: Okay, great. Thanks very much. I’ll pass it on.
Operator: Your next question comes from the line of Anita Soni with CIBC. Your line is open.
Anita Soni: Hi, good morning LP and thanks for taking my question. So firstly, I just wanted to double check on a couple things. On the nameplate capacity, I think it’s 12.8k tons per day. Does that include like the 90% availability that you would have at nameplate or is that we have to apply the 90% on top of that?
Louis-Pierre Gignac: Yes, that includes it. So it’s a nominal rate, so that’s inclusive of availability. Yes.
Anita Soni: So you’re trying to move the 78% to the 90% at this point, but that includes.
Louis-Pierre Gignac: Correct.
Anita Soni: Okay, got it. All right. And then just in terms of the grades as they evolve over the course of the year, what are you trying to aim towards by year end in terms of grades?
Louis-Pierre Gignac: We’ll be in the 1.60 range in the second half and we do expect to see grades up to 1.8. So yes, we do expect some higher grades in the second half.
Anita Soni: All right. And then just in terms of the stripping, I’m not sure if I - if this is correct, but my assumption was something along the lines of four to one strip ratio 4.5. And I think it was much lower this quarter. So I’m just wondering what the stripping, what the intention on stripping ratio is this year and if that’s the case. I think there was a bit of underspend on the stripping and will that like which quarters will that catch up?
Louis-Pierre Gignac: Yes. So I mean this quarter we had a strip ratio of 1.45, for the year our guidance is 2.5. So yes, the strip ratio will start coming up in the second half of the year and that’s kind of in line with the additional shovel that we’re bringing in to increase our mining rate. But the other thing is, we’ve had essentially positive reconciliation where some of the material that we expect to be waste ends up being mineralized and typically lower grade material that we stockpile. So that’s been lowering our strip ratio on our actuals so far.
Anita Soni: Okay. And was the guide for the amount of stripping I think was - sorry, I’m just taking a look here, it’s a little north of $20 million. Is that still the expectation, like in terms of capitalized strip?
Louis-Pierre Gignac: Yes, that’s in terms of cost, yes.
Anita Soni: Okay. All right, that’s it for my questions. I’ll get back in the queue.
Louis-Pierre Gignac: Thanks.
Operator: [Operator Instructions] And your next question comes from the line of Andrew Mikitchook with BMO Capital Markets. Your line is open.
Andrew Mikitchook: Thank you. LP, maybe we can just quickly go back to this SAG mill liner. Can you give us a sense of, I don’t know, how many days you guys lost in Q1 and how much of that would have trends extended into Q2 like or did you really have to kind of give us a sense of what we should expect on a Q2 impact, if any?
Louis-Pierre Gignac: Yes. So Q2, I mean, it’s been April where we had some continued impact from that. And then we had obviously the scheduled shutdown to do the replacement, which we kept within our scheduled, shutdown time. So basically in April, I mean, it was about five days that were, downtime just related to the liners. And since we started back up with the liner replacement, the throughput has been excellent and the uptime has been equally very good. So that’s why it feels like we really turned the corner with this issue and look to have Q2 be a better quarter for us.
Andrew Mikitchook: Okay. And then just going to Oko West, I think it was Dušan [ph] who was quoting the workers or yourself? I don’t remember. Anyway, apparently I think I wrote down 200 workers by the end of March that you’re expecting another increase by the end of May. Can you give us a sense what the kind of full manpower total should be? Just so we have an idea or maybe by the end of the year, just so we have an idea how that should expand, how that should progressed?
Louis-Pierre Gignac: Yes. So the 350 that we refer to is based on the expansion of the existing exploration camp. So that will give us 350 beds soon by the end of May, basically. And basically the team on site is focused on constructing our permanent camp. So as we have units that are constructed, we’ll be able to add beds on site and have that continue to ramp up. So by the end of the year, we’re thinking anywhere between 750 beds to 1000 beds is what we’ll be able to accommodate on site. And obviously everything else needs to follow with that. So kitchen, sewage, water, the facilities to support that number of people. So yes, that’s really the push in terms of our early works program right now.
Andrew Mikitchook: Okay. And then my last question is on the financing facility being considered here. I think even in the press release you used the words that, you’re not expecting equity dilution, but on the debt side, are you looking at just kind of plain vanilla commercial loans? Or other options available? Or more advantageous? What’s the permutation of availability or what should we be expecting?
Louis-Pierre Gignac: Yes. So we’ve had a lot of inbounds and we have a lot of options in front of us. So I mean the thinking at this point is, we have equipment financing that is available to us with the equipment that we’re purchasing. So we’ll likely be having a component that’s tied to that. The other piece that we’ll figure in our financing package will be essentially a corporate revolver with Canadian banks. And the balance from there is likely very limited in terms of our requirements. Like we mentioned, I mean this is tied to gold price as well with the cash flow generation from TZ. So those are the various parts. But to your point, at the moment we’re looking to keep it quite vanilla, but we have other very interesting proposals that we’re evaluating.
Andrew Mikitchook: Okay, well that’s great. I will sign off and let others ask questions.
Operator: And your next question comes from the line of Anita Soni with CIBC. Your line is open.
Anita Soni: Yes, I just wanted to get a little bit more color on the amount of - you said the throughput rates have been excellent. Could you basically, have you gotten to then basically the nameplate subsequent and subsequent to the liner replacement? And how is that? I mean it’s been almost half the quarter at this point. So can you just tell us how it’s going, I guess in terms of numbers?
Louis-Pierre Gignac: Yes. So I mean, for example, May to date we’re at like 108% of nameplate. So that’s showing a continuous run with - since the liner change.
Anita Soni: All right. And then I think Mike asked this a little bit, but I just wanted to get a little bit more color as well. But in terms of the liner replacement, is that going to necessitate a, an accelerated maintenance schedule or any implications sort of longer-term in what the that 90% availability, if you’re having to take more downtime than you had previously forecasted? Or are there other offsets or is the mill performing as you mentioned 108%? Is that better than your budgeted expectations? And that’ll offset any other additional downtime.
Louis-Pierre Gignac: Yes. So, yes, so far this is, if we can maintain that, that’ll offset some of the downtime we had in April as part of this quarter. And then, typically the liners we change, the schedule changes is anywhere from six to nine months on this SAG mill. So that’s part of our scheduled downtime when you get a typical performance that you expect.
Anita Soni: All right. And so then the unplanned portion of what happened in Q1 was that you didn’t have the replacement liner. Is that what happened? Or like, I’m just wondering why there was unplanned downtime in Q1.
Louis-Pierre Gignac: Yes, because we had to replace poly-met liners that were damaged with additional poly-met liners. So it was a question of receiving the steel set so we could make the full change. That was the reason for - that period of running with the poly-met liners.
Anita Soni: And then going forward, you’ll have more spare poly-met liners on site so that you don’t have the unplanned downtime. Is that the correct?
Louis-Pierre Gignac: Well, at this point, we’re always going to be using steel set liners. So when we change the liners, come six months from now, it’ll be another set of steel set liners.
Anita Soni: Okay. But, yes, I guess I’m more referencing the availability of the parts for the replacement.
Louis-Pierre Gignac: Yes, no, we have the parts. It’s just a question of you need to shut everything down to go in and change them out so.
Anita Soni: All right. Okay. Thank you. That’s it for my question.
Operator: [Operator Instructions] Your next question is from webcast. It is from Steven Therrien with 3L Capital. Do you still plan to spend 41% of total growth capital at Oko West in H1, meaning approximately 65m to75m spend in Q2?
Louis-Pierre Gignac: Well, it will likely be a little less and pushed to the second half. And the reason being is it’s just a timing thing where we order equipment and materials and by the time we need to make payments. So, yes, that’ll likely be a little push to the second half given like we, for example, we spent 17 this quarter. We’ll likely be going up second quarter but not hitting that amount. So it’s really just tied to timing.
Operator: Thank you. And we do have one more question. One moment, please. Question from Samir Mohammed. Why was the gold recovery rate with 88% lower in Q1 than in Q4?
Louis-Pierre Gignac: I mean, there’s no particular reason. The recovery is a bit lower when we have soft oxide material in our mil feed mix. So that’s been typically the reason for some of the lower. The lower recoveries that we get. But generally, the plants has been having a good recovery.
Operator: Thank you. I’m not showing any further questions in the queue. With that, ladies and gentlemen, that concludes today’s call. Thank you all for joining. You may now disconnect.